Operator: Good morning and welcome to the WesBanco Inc. First Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to, John Iannone. Please go ahead.
John Iannone: Thank you. Good morning. And welcome to WesBanco, Inc.'s first quarter 2023 earnings conference call. Leading the call today are Todd Clossin, President and Chief Executive Officer; Jeff Jackson, Senior Executive Vice President and Chief Operating Officer; and Dan Weiss, Executive Vice President and Chief Financial Officer. Today's call, an archive of which will be available on our website for one year, contains forward-looking information. Cautionary statements about this information and reconciliations of non-GAAP measures are included in our earnings-related materials issued yesterday afternoon, as well as our other SEC filings and investor materials. These materials are available on the Investor Relations section of our website, wesbanco.com. All statements speak only as of April 25, 2023, and WesBanco undertakes no obligation to update them. I would now like to turn the call over to Todd. Todd?
Todd Clossin: Thank you, John. Good morning, everyone. On today's call, we'll review our results for the first quarter of 2023, and provide an update on our operations and current 2023 outlook. Key takeaways from the call today are solid financial performance demonstrated by loan growth and discretionary cost control. Key credit quality metrics have remained at low levels and favorable to peer bank averages. We remain well capitalized with solid liquidity and a strong balance sheet with capacity to fund loan growth. And we are well-positioned for near term success while continuing to make appropriate long term growth oriented investments. We're pleased with our performance during the first quarter of 2023. We demonstrated the earnings power, capital and liquidity to perform well and missed a quarter of broader industry volatility driven by financial institutions with different operating models than ours. We reported loan growth while maintaining credit quality and delivered solid pre-tax, pre-provision net income. We diligently manage discretionary costs while making appropriate investments that build upon and enhance our strong markets, teams and core advantages. And we remain focused on ensuring a strong organization with solid liquidity and a strong balance sheet. For the quarter ending March 31, 2023, we reported pre-tax pre-provision income of 13.2% year-over-year, and net income available to common shareholders $42.3 million with diluted earnings per share of $0.71 when excluding after tax merger and restructuring charges. On a similar basis the strength of our financial performance this past quarter is further demonstrated by our return on average assets of 1.01% and return on tangible equity of 13.5% and our capital position continues to provide financial and operational flexibility. While Jeff will discuss our loan growth, it's important to highlight the strength of our credit underwriting in overall conservative risk culture. We do not chase loans or take undue risk just to report growth. We're focused on long term sustainable growth through all economic cycles. We are achieving our strong loan growth while maintaining our credit standards. Again this quarter, we reported key credit quality measures that continue to remain at low levels and favorable to all banks with assets between $10 billion and $25 billion. Total loans past due as the percentage of total loans were 16 basis points down more than 50% from last year. Non-performing assets as a percentage of total assets have ranged from just 21 to 26 basis points the first quarter of 2020. Lastly, criticize and classify loans as a percentage of total loans were 1.6% down 208 and 74 basis points year-over-year and quarter-over-quarter respectively. In fact, this is the lowest level in nearly four years. Jeff will now provide an update on our key first quarter operational topics.
Jeff Jackson: Thanks, Todd. We continue to effectively execute our strategic business plans as evidenced by our solid loan growth across all markets, disciplined expense management, and excellent credit quality reported for the first quarter. I'm pleased that the strength of our markets and lending teams combined with our LPO strategy continues to meet our expectations, as we demonstrated total loan growth of 11.9% year-over-year, and 7% annualized when you compare it to December 31, 2022. Residential real estate loans continue to benefit from the retention on the balance sheet of approximately 70% of the one to four family residential mortgages originated. Total commercial loan growth reflects the strength of our teams and markets which we have enhanced through our hiring efforts over the past two years. For the first quarter, total commercial loan growth was 9% year-over-year, and 4% annualized sequentially. Briefly, I would like to provide some comments on the high quality of our office space loan portfolio, outlined on Slide 5 of the supplemental earnings presentation. The portfolio which represents just 4% of the total $10.9 billion loan portfolio is very high quality with more than 96% of the loans and pass risk categories and no non-performing loans. The average loan size is roughly $1.5 million, average LTV is 62% and the average debt service coverage is 1.8 times. The portfolio is geographically diverse across our six state footprint and located predominantly in suburban markets. Our commercial loan pipeline at March 31 was $1.1 billion, an increase of approximately 25% since year end as our teams continue to find business opportunities to replenish the pipeline. Our newer markets in Kentucky and Maryland account for roughly 30% of the pipeline while LPOs in Cleveland, Indianapolis and Nashville are contributing approximately 13%.  Importantly, we have ample liquidity sources to fund loan growth. Our deposit granularity as evidenced by our average deposits account size of $27,000 reflects the trust our customers have in our 150 year heritage as a community bank. Our loan to deposit ratio of 83.5% provides us with ample lending capacity to support our customers as they grow. In addition to $600 million of cash on our balance sheet as of March 31 normal remix from our securities portfolio to the loan portfolio can cover approximately 4% loan growth, not to mention cash flow from the normal loan maturities and P&I payments. While the core funding advantage of our legacy markets continue to contribute approximately $25 million a quarter, we have implemented several initiatives to help drive additional organic deposit growth, albeit at potentially lower cost than peers located in the major metro markets. Through the last few years, we have executed a strategic transformation of our company into an evolving regional financial services institution with a community bank at its core. We have done this through successful expansion while adhering to our foundation of expense control, risk management, high credit standards, and a strong workforce equipped with the skills to drive success. And we will continue to adhere to that strategy as we continue to evolve. Similar to our hiring strategy, the last couple years, we still expect to hire additional commercial bankers primarily C&I this year. We believe that continuing to add top tier talent across our robust and diverse markets is a key to our long term success. However, we will proceed cautiously as we monitor the operating environment, and we'll adjust our plans as appropriate. We also expect to fund these new hires through internal efforts including the adjustment of existing banker staffing levels. In summary, we have distinct growth strategies with unique long term advantages, balanced distribution across economically diverse major markets, and a strong customer service culture combined with robust digital services that enable us to deliver efficient solutions when where and how our clients need them. We are focused on strengthening our diversified earning streams for long term success with new capabilities and strategies. My transition continues to go well and I enjoy working with Todd and the team. Back to you, Todd.
Todd Clossin: Thanks, Jeff. Well, WesBanco continues to be acknowledged for its soundness, profitability, employee focus and customer service, as it continued to receive numerous national accolades over the last few months. For the 13th time since 2010, we were named one of America's best banks for strong capital, credit, quality and profitability. For the third consecutive year, we were voted by our employees as one of the best midsize employers. We provide an environment where employees feel valued and are provided avenues for success, while encouraging a strong customer centric focus that ensures a sound and profitable financial institution, work communities and shareholders. I'd like to once again congratulate our entire organization as we continue to deliver large bank services with a community bank feel while providing our customers with top tier service. Their efforts earned us for the fifth consecutive year. The recognition is one of the best banks in the world based upon customer satisfaction. We receive strong scores from our customers for customer service, digital services, satisfaction, and financial advice. I'd now like to turn the call over to Dan Weiss, our CFO for an update on the first quarter results and a current outlook for 2023. Dan?
Dan Weiss: Thanks, Todd and good morning. As presented in yesterday's earnings release during the first quarter we reported improved GAAP net income available to common shareholders of $39.8 million and earnings per diluted share of $0.67. Excluding after tax restructuring and merger related charges net income and earnings per diluted share for the first quarter were $42.3 million and $0.71 per share respectively, as compared to $42.9 million and $0.70 last year respectively. It's important to note that the first quarter of 2022 was favorably impacted by a negative provision of $2.8 million net of tax or approximately $0.05 per share, as compared to a provision increased during the first quarter of this year of approximately $0.05 per share. Therefore, on a pre-tax pre-provision basis, income improved by 13.2% year-over-year. Total assets of $17.3 billion at the end of the quarter included total portfolio loans of $10.9 billion and securities of $3.7 billion. Total portfolio loans grew both year-over-year and sequentially reflecting the strength of our markets and lending teams, as well as more one to four family residential mortgages retained on the balance sheet. Reflecting the uncertainty in the economy, average first quarter C&I line utilization was 32.5%, a year-over-year decrease of approximately 350 basis points or $25 million. Overall, our deposit levels and recent trends reflect granularity and relative stability of our deposit base, which can be seen on Slide 6 of the earnings presentation. Total deposits have been impacted by interest rate inflationary pressures, and the Federal Reserve's tightening actions to control inflation, which has resulted in industry wide deposit contraction, where deposits were down approximately $360 million in January, before remaining relatively flat through February and March. Total deposits at the end of the first quarter were $12.9 billion down 2% or $260 million when compared to December 31 2022, which also includes $140 million in shorter term brokered deposits. Further, our demand deposits continue to represent roughly 60% of total deposits, while non interest bearing deposits were 35% of total deposits, which is relatively consistent with a fourth quarter. The net interest margin in the first quarter of 3.36%, increased 41 basis points year-over-year, which reflects the 425 basis point increase in the Fed funds rate since March of 2022. As well as our successful remix of securities into higher yielding loans. The net interest margin decreased 13 basis points from the fourth quarter of 2022, primarily due to higher funding costs, as lower cost deposits were replaced with wholesale borings were repriced or migrated to higher tier savings products. As we've mentioned previously, while our robust legacy deposit base provides a pricing advantage, we're not immune to the impact of rising rates on our funding sources. Total deposit funding costs, including non interest bearing deposits for the first quarter of 2023 increased 28 basis points quarter-over-quarter to 65 basis points. On a year-over-year basis. Our total deposit beta was 13% as compared to the 425 basis point increase in the Fed funds rate over the last 12 months, reflecting our ability to lag peers as it relates to deposit funding cost increases. And also we continue to balance the cost benefit of allowing some deposit run off in the near term against the cost of repricing the entire book. Noninterest income of $27.7 million in the first quarter was down $2.7 million year-over-year, primarily due to lower bank owned life insurance and mortgage banking income. Bank and life insurance decreased $1.9 million year-over-year due to higher death benefits received in the prior year period, and mortgage banking income decreased $1.5 million year-over-year due to a reduction in residential mortgage originations. reflecting our renewed focus on commercial loan swaps, new swap fee income of $1.8 million, which is recorded in other income increased $1.7 million from the prior year period. Turning now to expenses. Despite the continued inflationary environment, noninterest expenses were better than our prior expectations, excluding restructuring and merger related expenses. Noninterest expense for the first three months ended March 31 2023 totaled $93 million and 8.2% increase year-over-year reflecting inflation, higher staffing levels and associated costs and higher FDIC insurance from an increase in the minimum rate for all banks. As a reminder, the fourth quarter of 2022 included a couple of large credits, totaling approximately $2.5 million, which were not repeated in the expense run rate. When adjusting for these credits. First quarter non-interest expenses were flat to the fourth quarter. Salaries and wages increased year-over-year due to the higher staffing levels mainly revenue positions and merit increases. Employee benefits also increase from last year due to higher staffing, as well as an increased pension expense and higher health insurance. equipment and software expense increased due to the planned upgrade of a third of our ATM fleet with the latest tech LNG and general inflationary cost increases for existing service agreements. Moving to capital, we remain focused on ensuring a strong capital base while also returning it to our shareholders through appropriate capital management. Our capital position has remained solid, as demonstrated by our regulatory ratios that are above the applicable well capitalized standards and are tangible common equity the tangible assets ratio improved 16 basis points on a sequential quarter basis to 7.44% as of March 31 2023. In light of recent events, we've added Slide 6 and 7 to our supplemental earnings presentation. On Slide 6, we provided insight into the composition of our deposit base, and highlight our geographically dispersed, granular and rural deposit franchise. nearly 60% of our deposit base is retail oriented with over 475,000 deposit accounts, and an average deposit size as Jeff mentioned, of $27,000 per depositor, when including business and public funds. On Slide 7 we highlighted our securities portfolio, with an overall weighted average duration of 5.4 years and weighted average yield of 2.49%. We also highlight our TCE ratio on a pro forma basis, when including the fair value mark from held to maturity securities, which comes in at 6.86%. We believe these metrics compare favorably with industry trends. Regarding liquidity, we actively manage our liquidity risks to ensure adequate funds to meet changes in loan demand, unexpected outflows and deposits and other borrowings as well as take advantage of market opportunities as they arise. This has accomplished that by maintaining liquid assets in the form of cash securities, sufficient borrowing capacity, and a stable core deposit base, between our cash FHLB boring capacity correspondent lines with other banks and unpledged securities in the form of agencies and mortgage backed securities, which can easily be pledged FHLB or to the Fed to expand our borrowing capacity we have more than $4.5 billion in immediate liquidity, adding in normal principal and interest from the loan and investment portfolios through the next 12 months as another $2.7 billion for a total combined in excess of $7 billion in near term flexibility. Therefore, we feel we are very well positioned in any operating environment. Regarding our current outlook for 2023. We currently model Fed funds to peak at 5.25% during the second quarter and then hold steady through the remainder of 2023. We continue to anticipate our deposit betas to be lower than peers and generally lag the industry due to the benefit of our legacy deposit base. We do anticipate fed tightening to continue to shrink the money supply, which will place pressure on deposit retention industrywide, and result in higher overall interest expense. We expect similar trends to impact margin during the second quarter, reflecting higher funding costs and continued deposit mix shift into higher yielding deposit products. We also have actively increased loan spreads and rolled out additional incentives to the commercial lending teams to generate additional deposits. residential mortgage originations should remain positive relative to industry trends due to our loan production offices as well as our hiring initiatives, but down due to market conditions, our pipeline at March 31 was approximately $100 million, which is up seasonally from the fourth quarter, similar to the sequential quarter increase in prior periods. Trust fees will continue to benefit from organic growth, as well as be impacted by the trends in the equity and fixed income markets. And as a reminder first quarter trust fees are seasonally higher due to tax preparation fees. Securities brokerage revenue should continue to benefit modestly from year-over-year organic growth. Electronic banking fees and service charges on deposits will most likely remain in a similar range as the last few quarters as they are subject to overall consumer spending behaviors. And we still anticipate new commercial swap fee income to double the approximate $4 million that we've earned annually over the last few years. While we remain diligent on discretionary costs helped me mitigate inflationary pressures. We intend to continue to make the appropriate growth oriented investments and supportive long term sustainable revenue growth and shareholder return efforts to attract and retain employees. In particular commercial lenders across our metro markets remains a strategic priority. That said, we’ve recognized the challenges of the current operating environment and attend to Have fun. The majority of this hiring plan was internal efforts, including the adjustment of existing staffing levels and continued efforts to improve efficiency. The upgrade of our ATM fleet with the latest technology as well as inflationary cost increases for existing service agreements will keep equipment and software expenses in a similar range the first quarter. We anticipate higher pension expense of approximately $700,000 per quarter with an employee benefits based on a lower projected return on plan assets. FDIC insurance expense should be consistent with the first quarter due to the industry wide minimum rate increase and expect higher marketing expense in support of growth plans across our markets. Based on what we know today, we still believe our quarterly expense run rate to be in the mid $90 million range. We believe these investments are appropriate and supportive long term sustainable revenue growth and associated shareholder return and will continue to drive positive operating leverage. The provision for credit losses under CECL will be dependent upon changes to the macroeconomic forecast and qualitative factors, as well as various credit quality metrics including potential charge offs, criticized and classified loan balances, delinquencies, changes in prepayment speeds, and future loan growth. Lastly, we currently anticipate our full year effective tax rate to be between 18.5% and 19.5% subject to changes in tax regulations, and taxable income levels. Operator, we are now ready to take questions. Would you please review the instructions?
Operator: We will now begin the question and answer session. [Operator Instructions] Our first question comes from Casey Whitman from Piper Sandler. Please go ahead. 
Todd Clossin: Good morning Casey.
Casey Whitman: Hey Good morning. Dan, appreciate some of the guides you just gave. Are you able to put any numbers sort of around how much margin pressure we could see over the next few quarters and sort of what kind of cumulative deposit or funding betas you're now assuming? Appreciate that it's going to be better than peers, but just sort of wondering where we might see to the margin bottom here?
Dan Weiss: Yes. So I think there's a number of moving parts there. So you're starting off maybe on the asset side. Obviously, we've got about 68% of the commercial loan portfolio is variable rate, about 53% of that is going to every three months. Okay, so that's been a pretty significant benefit to us. We've gotten, we saw actually, there's the movement there, from right around 6.5% up to year end in the quarter up to 7.15%. So saw some nice 65 basis points of improvement there. We also as you know, have about 17% of the securities portfolio is a variable rate. So we saw about 17 basis points lift there. So those would be kind of the tailwinds as it relates to any future movement, any future Fed rate, hike, etc. And we are slightly asset sensitive if you're modeling in a static environment. But when we think about the deposit side, the costs associated with what we're seeing in the market right now, obviously, we've been very proactive and pricing public funds. We're maintaining those very nicely. We've been increasing there's higher tier money markets, and private client funds. And we've also increased our CD rates as well. And to the extent that we're seeing any kind of run off on the deposit side today we're kind of leaning into kind of our core funding advantage to some extent and boring then from the Federal Home Loan Bank. So we think that in the near term, there's probably going to be a little bit of margin compression as a result and it's really going to be primarily based on our expectations for what the Fed has been doing with their quantitative tightening. We know that the money supply is shrinking, we know that the pie is smaller, and we want to make sure that we're maintaining our piece of the pie. But at the same time we're going to be responsible in the way that we're pricing our deposits, and we're comfortable kind of leaning into the FHLB borrowings in the nearer term. With that all being said on a spot basis, I can tell you that for the month of March, our margin was right, around three and a quarter percent. So, yes, take that for as a good benchmark for where we're at.
Todd Clossin: This is Todd Casey. I would just add to that to that deposit remix, that we saw in the first quarter I would anticipate seeing that continue through the second quarters as Dan mentioned, 83.5% loan to deposit ratio, we've got some flexibility there to let that drift up a little bit over the next year or two. And stay disciplined on the deposit cost side. But I do think that remix that you saw in the first quarter is, is probably going to continue. I think the whole industry saw it, and we'll see it continue as well, too. Fortunately, for us we can go up and offer competitive CD rates in some of our legacy markets to generate some core funding, not have to pay 6% rates at some of the areas where the banks that are 100% loan to deposit. We're not in that environment. So that gives us a little bit of an advantage. And as Dan says, we can lean into that to some degree. But recognizing we don't want to give up our deposit advantage over the next year or two as well, too. So finding that balance, I think is going to be appropriate. But I would expect the remix to continue in the second quarter that we saw in the first quarter.
Casey Whitman: Okay, that answers my question. Thank you. 
Todd Clossin: Sure. Thank you.
Operator: Our next question comes from Karl Shepard from RBC Capital Markets. Please go ahead. 
Karl Shepard: Hey, good morning, everybody.
Todd Clossin: Good morning.
Dan Weiss: Good morning.
Karl Shepard: Good morning. To start I just wanted to follow up on Casey's question, I guess on the margin. I hear you loud and clear on deposit remix kind of through the second quarter. Any thought on that slowing as we get later into the year if the Fed is done after May?
Todd Clossin: That could be a real possibility. As you just I think qualified it there at the end with regard to what the Fed does. We don't really now. So I think there's some uncertainty out there. We're looking for one more 25 basis point increase and then hold steady for a while and then some cuts. But that could change based upon what happens with inflation and what we see over the next couple of months from a national standpoint. But that could actually work into everyone's favor, our favor as well, too. If the increase the stop and the cuts start to occur later in the next year, then that takes some of the pressure off. And I think again, our funding advantages are really show through and we'll be able to manage the deposit base a little easier than we're having to if rates continue to go up. So I think that's a good possibility. It's hard. This is not a lot of clarity into the third quarter right now.
Karl Shepard: Yes, that's fair, I appreciate the help. And then switching gears in terms of lending. Like I hear the kind of the positive comments on replenishing the pipeline. But I also noticed in the deck kind of a tick down in line utilization. So I was hoping you could kind of square those two comments and just give an overview, maybe kind of what the general loan demand trends are and what you're hearing from borrowers?
Todd Clossin: Yes, and I'll maybe I'll answer the first part of that, and then I'll throw it to Jeff, and let him answer the second part of it. But we saw a high point in terms of utilization, just a hair under 45%, like 44.4%, back at the end of 2019, prior to the pandemic. And that's continued to trend down to $32.5 as we stated in our in our comments. And I think part of that may be stemming from the higher interest rates that a lot of those lines are variable rates, and with the delta between the deposits what they're getting on deposits and what they're getting having to pay on the loan side. I think that there's a lot of lines being paid down right now with the excess liquidity. So I think that's driving some non-interest bearing deposit declines, but also driving down line utilization as well, too. Having said that, we are But that could actually work into everyone's favor, our favor as well, too. If the increase the stop and the cuts start to occur later in the next year, then that takes some of the pressure off. And I think again, our funding advantages are really show through and we'll be able to manage the deposit base a little easier than we're having to if rates continue to go up. So I think that's a good possibility. It's hard. This is not a lot of clarity into the third quarter right now.
Karl Shepard: Yes, that's fair, I appreciate the help. And then switching gears in terms of lending. Like I hear the kind of the positive comments on replenishing the pipeline. But I also noticed in the deck kind of a tick down in line utilization. So I was hoping you could kind of square those two comments and just give an overview, maybe kind of what the general loan demand trends are and what you're hearing from borrowers. 
Todd Clossin: Yes, and I'll maybe I'll answer the first part of that, and then I'll throw it to Jeff, and let him answer the second part of it. But we saw a high point in terms of utilization, just a hair under 45%, like 44.4%, back at the end of 2019, prior to the pandemic. And that's continued to trend down to 32.5 as we stated in our in our comments. And I think part of that may be stemming from the higher interest rates that a lot of those lines are variable rates, and with the delta between the deposits what they're getting on deposits and what they're getting having to pay on the loan side. I think that there's a lot of lines being paid down right now with the excess liquidity. So I think that's driving some non-interest bearing deposit declines, but also driving down line utilization as well, too. Having said that, we are pretty well positioned with regard to our loan portfolio for growth. Jeff, do you want to jump in?
Jeff Jackson: Sure. Thanks, Todd. Yes, as we mentioned, our pipeline is around $1.1 billion that's near an all time high. We do have a lot of projects that have kind of slowed down, I think with rates rising. But once again, we're seeing a pretty robust pipeline, and feel really good about where we stand from a business perspective. A lot owners, some of their banks have stopped lending. So we're getting opportunities there as well. And we are taking up our prices also, as rates have risen. So I think we're really well positioned to go forward and have not seen any real slowdown from business perspective for us.
Todd Clossin: Yes. Jeff mentioned, the higher deposit or the higher loan rates. We are up 75 to 100 basis points in terms of kind of the floors on our originations over where we were just a couple of months ago. So we realized not a lot of banks are lending money out there, right now, we're in a position to be able to continue lending, but we're going to get paid for it. So we want to make sure what those higher funding costs, particularly from federal one bank, that we've got a margin on top of that, that makes sense for us. And that may impact pipelines, that may impact loan growth by a percentage point or two, although we're not seeing it yet. It might impact it by a percentage point or two, but we're going to get the margin. So that margin so that we're focused on the beta, the margin beta and not just the deposit beta. So that means the home price needs to continue to go up, particularly if the Feds going to keep raising rates. 
Karl Shepard: That's great. Thanks, Tom.
Todd Clossin: Sure.
Operator: Our next question comes from Catherine Mealor from KBW. Please go ahead.
Todd Clossin: Good morning Catherine.
Catherine Mealor: Hey, good morning. Just one more on the funding side. [indiscernible] on FHLB borrowings that you prefer to stay under to try to think about, as we made you grow FHLB a little bit more versus CDs where you're kind of sticking point is there?
Todd Clossin: Yes, Catherine. So I would say, high level, our maximum borrowing capacity from FHLB is about 4.6 billion. And as you know, we've got about 1.3 billion borrowed at this point. So that leaves our remaining capacity about 3.3 billion. There's not necessarily, we don't necessarily view this as a cap, I mean, or we don't have necessarily a cap, I think we certainly would love to not borrow from the Federal Home Loan Bank and generate our funding through low cost deposits. But it's not unusual over the years for us to be holding really, on average, about a billion dollars from the Federal Home Loan Bank anyways pre-pandemic, we were right around [$1.05 billion] on a smaller balance sheet. So not necessarily unusual, but I wouldn't say that we've got a cap per se. But we obviously are continuing to monitor that. As you heard in my prepared commentary, we did take out some broker deposits, we did $140 million there, that was more, just to kind of tap into the market to confirm that we had access to those funds. And, of course, that obviously, also, from my perspective, really is wholesale borrowing similar costs to FHLB before as well. And that provides some additional availability, if you think about it that way. But no, there's not. specifically, I wouldn't say we have a defined cap on where there's borrowings would be.
Catherine Mealor: Great. And then maybe switching over to [indiscernible] deposits, kind of thinking about the non-interest bearing mix shift. And you touched on this just a little bit. But is there any reason, as you just kind of think about your deposit base and your borrowers, is there anything as you see within your deposit base, that could make the case, and we should still stay kind of above the pre-pandemic levels in terms of percentage of noninterest bearing to total? Or what's preventing that from actually going maybe even lower than pandemic levels? We're just kind of looking at non-interest bearing mix shift across the industry, there's a big discussion, I think, today for everybody is where these numbers eventually go. And there's any kind of commentary you can give on maybe what's different or special about your deposit base that may protect you there.
Todd Clossin: Yes. It's great question. So my answer to that would be that we do look at kind of where we are at pre pandemic, right. So we've completed the online bank merger back in November of 2019. So we got a good quarter comparison of our current size three years ago, prior to the pandemic. So we tend to look at kind of where were we out there and in a normal world, I guess would you revert back to that at some point in time. There's pushes and pulls to that. What I would say the pull to that would be that you're talking about 5% maybe 6% with CD rates and things like that, that are out there, that's a big delta, versus where it was three years ago with the rates being a lot lower. So where people are going to be more apt to better utilize their cash so to speak, to get a return. We're seeing some of that with the line pay downs. But are we going to see that it is going to be different than it was three years ago, because the delta is so big, but then fighting against that it's going to be I think the Fed would be cutting rates here at some point. So that that delta is going to start to diminish and maybe it gets back to where it was three years. I don't think I'll go quick back that far. So that could make the case for you could go lower than you were pre-pandemic but I would also say that we're doing a lot of things differently now than we were then because we're getting a lot better at generating what I would say core deposits and having plans around that. We've benefited from the hare related deposit just kind of fallen into the bank, and our legacy footprint. So we never had to really sharpen our pencil, so to speak, because funding was always readily available. But now as we kind of look through that, with our loan growth and our plans and everything, we've gotten better at being able to generate core deposits. We've added a pretty significant part of our commercial lending incentive plan is now deposit driven, whereas in prior years, it wasn't because we were focused on loan growth and margin on loans, but not necessarily deposits. So that's changed. So we're getting much, much better at that side of things. We have new treasury management products, several which Jeff has brought to the table with what I would say more C&I related treasury management that we're going to market with that could be a real game changer for us as well, too. So we're doing some things that we weren't doing three years ago that I would say, would allow us to operate at a higher percentage of non-interest bearing than where we were at three years ago. So there's pushes and pulls to that. We'll have to wait and see how it works out. But that's kind of the way that we see it right now. And I would tend to land in the spot that I would expect higher non interest bearing deposits, as a percentage of our deposit base than where we were at three years ago. But I just don't know where that, kind of where that bottom or that floor is or where that point is. And we'll have to just find that out over the next couple of quarters as we move through the cycle.
Catherine Mealor: Great, that's really helpful. And maybe just switching to credit, I mean you added some  great slides in your deck on just your office portfolio and commercial real estate portfolio. And then from old line, you've now got exposure to DC, which is getting so much negative press about the office landscape there. But it's glad to see that the actual DC piece is very small for you. It's much more kind of [indiscernible], so guess this just give any commentary on what you're seeing, particularly in that market and what you're worried about any kind of risky scene here or alternatively, what makes you more comfortable with your office portfolio? Thanks.
Todd Clossin: Yes. The suburban nature of it makes us feel more comfortable we're in what I would call, I don't mean this disrespectfully, but tier two cities, for the most part, Pittsburgh, Columbus, Cincinnati, Louisville, Lexington, versus what I would say tier one cities like Chicago or LA, San Francisco, and even downtown DC. That's not really those are mass transportation markets, where people, I think there's going to be a higher percentage of people working from home, remote, or hybrid long term. So that's going to have a material impact on those cities, not that the secondary tier two cities aren't going to be impacted, I think they will be but for the most part, these are all getting your car and drive to work type of markets. And we're seeing that hold up better than in some of the bigger cities. The DC part of it again, if you look at our office portfolio, in Maryland, it doesn't look very much like the rest of our office portfolio. It's not in downtown DC, we're not there, yet, we've got one loan, which is performing. But that's not an office market that fortunately aligned good at underwriting to, and they didn't go into that market, from an office standpoint in any big way. So I think that that'll benefit us quite a bit. And I also look at the portfolio and how it matures. You get about $40 million a year maturing on that office portfolio each of the next couple of years. So it's not like we got a big bubble all coming through and maturing at the same time or anything like that. And we've also gotten very good and granular at going out and looking at those and making sure that we got good line of sight to where do we think occupancy is going to be and rates are going to be down the road, right. So don't see a lot of what I say ghost properties out there where the rents being paid, but there's no cars in the parking lot type of thing. Because when events going to kind of occur if that's what the portfolio is consisting of, and we're not seeing a lot of that. It's not reported anywhere, but those are the things that we're digging into ourselves and having our lenders dig into. We're reviewing every office loan over a couple million dollars to make sure we got really good line of sight into where they're going to be 2, 3, 4 or 5 years down the road. So as a result of that, I feel good about where we're at with it, but we're not in the in the big tier two cities, or tier one cities and we're also it's not a portfolio we are expanding at all right now. And we think that that's probably going to be the one area for the industry. They will probably get the most scrutiny over the next five years and probably should, quite frankly.
Catherine Mealor: Great. Very helpful. Thank you.
Todd Clossin: Sure.
Operator: Our next question comes from Russell Gunther from Stevens. Please go ahead. 
Russell Gunther: Hey, good morning, guys. 
Todd Clossin: Good morning. 
Dan Weiss: Good morning Russell. 
Jeff Jackson: Good morning. 
Russell Gunther: I wanted to follow up on those commercial lender conversation a bit. You guys mentioned LPOs are 13% of the commercial pipeline. Did a similar data point in terms of related deposit production or deposit pipeline, and just trying to get a sense for how these hires can help you self fund this sort of high single digit growth?
Todd Clossin: Yes, again, I'll start off in it. Jeff wants to jump in he's welcome to as well. We talk about that a lot. We actually and Jeff's been the one driving this the last two to three months, is having a category on our pipeline that's going to show deposit pipeline as well too. So that we have that ability to track that. But we are bringing that up. We're not making loans to commercial real estate C&I, you tend to get the deposits. But we're not making any commercial real estate loans, really, without a deposit existing deposit part of that or requiring that. And we've passed on quite a few loans in the last couple of months that didn't come with deposit basis. I don't have a specific breakdown by market in terms of deposit pipeline, other than to say that it's attached to all of the loans that we're looking at. But we would expect we're going to have a deposit pipeline here sometime over the next couple of months. Jeff, would you add anything to that? 
Jeff Jackson: Yes. I would agree with what you said. I would also say that our focus on hiring going forward and the LPOs, or if we're going to add any additional LPOs will all be C&I based. And so we would expect that to increase the percentage of LPO contribution to the deposit pipeline going forward based on just really focused on C&I customers, and then also increasing our treasury products and services. I think we've also increased that deposit pipeline, but we are focused on it. But I don't have the details right now.
Russell Gunther: That's very helpful. I thank you both for that. And then you have a target for C&I focused hires for this year. And just imagine it might be a target rich environment for you given what sounds like still a pretty healthy appetite to lend. So just kind of curious how you're approaching that>
Todd Clossin: Yes again I'll start off if Jeff or Dan want to jump in, we are seeing that. We are getting a lot of phone calls from commercial lenders, teams that want to talk to us because of our funding. So we do see that as a real strength right now. And something that is going to allow us to be able to bring on some top talent, again, we're being careful about it, we want to make sure that anybody we bring on particularly if it's a team or something that they've got the same credit underwriting approach as we do. And then also, I mentioned earlier an increase of 75 to 100 basis points over where we were pricing things a couple months ago. So we've got to be able to have a portfolio of prospects that come with a non-solicit, we're going to respect that, obviously. But they have to have a target base, that that's going to fit what we're going to want to do, if we're going to use our balance sheet for that. We are going through a process of bringing additional lenders on but we're also being very good about making sure that we're self funding as much of that as possible, potentially all of that, as we've done the last couple of years with kind of a reallocation to higher growth markets based upon retirements or underperformers, things like that, and being able to get a higher return productivity per FTE dollar than we have in the past.
Russell Gunther: Great, I appreciate your time. Thank you. And then just the follow up would be to the office discussion. Appreciate the color there. you guys have any observations you can share from updated appraisals in terms of declines in value, just kind of [indiscernible].
Todd Clossin: Yes. again, I think it's going to be very, very market specific because you don't have much in the way of any problems in the office portfolio. We haven't had to go out and get a lot of reappraisals and things done, but we do know cap rates have changed and similar to what I think you saw on the hotel portfolio two to three years ago. I think it's a much different environment. I talked about that for a second. I think with the hotel portfolio, it was a deep drop and then a comeback based upon the virus and vaccines and all that kind of stuff. And that portfolio is kind of back to normal. With the office, you've got a couple of things going on. You got the pandemic related aspect of things. But you've also got more of a structural impact that's going on with the work from home which maybe it bounces back a little bit. But I think a certain part of that is permanent. So whereas I don't think hotels would be permanently impacted. The office space, I think will be permanently impacted to some degree. So I think we've got to look at it a little bit differently there. So I do think having the portfolio reappraise, particularly if you have larger properties, or those that start to fall down in the risk grades, if they're having difficulty making payments. I do expect to see a fairly significant drop in values on those just anecdotally, we've seen one or two out there in the markets that have sold for less than liquidation value in terms of what liquidation value might have been just six months ago, and they're selling for less than that. So I do think that there's going to be some risk there and having a loan to value the levels we've had in the 60% range, I think it's going to be important because you may find yourself 80% loan to value in two to three years on a troubled property or higher.
Russell Gunther: I appreciate the color, guys. That's it for me. Thank you.
Todd Clossin: Sure.
Operator: The next question comes from Daniel Tamayo from Raymond James. Please go ahead. 
Todd Clossin: Good morning. 
Daniel Tamayo: Hey, good morning. Just quickly on the expenses. I know you've talked about being self funding majority of the C&I lender hiring plan, and then talked about that mid 90s expense, a run rate here in the near term, but I'm just curious kind of how far out that extends. And if there's kind of any cadence to the increase in expenses, incremental on top of, if there's any kind of additional expenses from that hiring program that may not be fully funded. Thanks.
Todd Clossin: I think with a 7% increase in salaries, part of that was additional people coming on board, even though we self funded some of that, that merit increases and whatnot, and we saw, obviously, the inflationary impact that occurred as well, too. Not so sure, we're going to see that kind of inflationary impact each year going forward, because it seems to be moderating to some degree. So I think that'll help pretty significantly, but I do think as the franchise grows, and we do want to grow the franchise mid to upper single digits, that expense base would grow commensurate with that. So I'm much more focused on the efficiency ratio than just the expense number. We do watch it and try to plan to it. And we do think the mid 90s is kind of where we're at right now, as we said, last quarter, and I think we proved out in the most recent quarter. But the efficiency ratio, as we get bigger, I think would be really, really important to be able to manage to that we that we're in the mid to upper 50s. And if we're touching 60, we don't want to be touching it for terribly, terribly long. And I think our ability to generate revenue, through some of the new products through some of the new hires, I think that's going to help us a lot, as we continue to grow as an organization, but we're also making investments. So as we continue to make investments in the company, that are going to be new product oriented, and we bring on additional people, that is going to take the number up over time, but I can't imagine it would be much greater than just the normal inflationary environment that you would see. And mid upper single digits, kind of be my expectations for future out years versus anything dramatic up and if we're going to be 5%, 6%, 7% bigger each year, going forward $95 million or $94 million quarterly run rate, if some point is going to cause us to under invest in the franchise, and we don't want to do that. And so that's probably the best answer I can give you is focus on efficiency. We're going to focus on the efficiency ratio. And the total expense base will probably drift according to what just the normal expense growth rate is for the bank based upon the mid 5% to 7% range.
Daniel Tamayo: That's very helpful. I appreciate that. And then, I know you touched on this, but just curious your assumptions in terms of the rate environment stable through the year but in the forward curve, there are some expectations for cuts. Curious how that how you think that would impact the earnings power of the bank.
Todd Clossin: With our deposit beta it was interesting to see that really benefits us on the way up when rates go up. But we also saw when rates started going back down again a few years ago, that deposit beta held up there too. So we're able to reduce our deposit costs faster than our peer group. And even though we can lag it on the way up, we can kind of beat it on the way down. So I would expect that, hopefully, some of the discipline around pricing and spread and whatnot, stays even on a low rate environment. We're getting better at pricing loans, we're getting better at managing that that spread, that as deposit costs were to put a drop that should really benefit us. So I think in an environment where you got rates coming down, I think that could be bonus for a number of banks. I think we could be one of the banks that might be included in that. But there's a lot of other variables that are going to be associated with that in terms of what's driving the rates to go down. If it's because and you got something else going on in the economy that could impact your growth rates, and that would have to be taken into account.
Daniel Tamayo: Okay, I appreciate the answers. Thanks, guys.
Todd Clossin: Sure.
Operator: Our next question comes from David Bishop from Hovde Group. Please go ahead. 
Todd Clossin: Good morning Dave.
David Bishop: Yes. Good morning, gentlemen. Most of my questions have been asked and answered. But in terms of opportunities within the market, on the lending side there are you seeing any loan segments or pockets where maybe you're seeing some of your peers pull back from that you think might present an opportunity, especially as you noted, some of the tier two markets may not be as boom and bust as DC and some of the other bigger metro markets across your footprint.
Todd Clossin: Yes I think some of the markets where we're funding is more of a challenge where the banks are 100%, 104%, 105% loan to deposit ratio, where they really kind of slowed down lending across all fronts because they're having a hard time just funding it. We're seeing lenders from markets, like that, from banks like that, but we're also have been seen, and I think we're going to continue to see loan opportunities we're not focused on office, we're not focused on hospitality. Those aren't focus areas of ours right now. And we like real estate. But we really want to lean into C&I in a fairly big way. So a lot of the opportunities that I think we're seeing, and that we should be able to see over the next year. Hopefully, you're going to be in the C&I space. Because if they get clipped a little bit from their current bank, that hopefully we get a look at those type of things, because we have capacity to lend significantly to good quality C&I customers. So I think that can help us quite a bit, particularly in markets in the southeast, part markets in the middle Atlantic, where maybe the banks just aren't going to be able to lend to the extent that they want to even for their good C&I customer. So the answer would be yes, I would expect us to see opportunities from that.
David Bishop: Great, appreciate the color.
Todd Clossin: Sure. 
Operator: And our next question comes from Manuel Navas from D.A. Davidson. Please go ahead. 
Todd Clossin: Good morning.
Manuel Navas: Hey, good morning. A lot of my questions have been answered. But I just wanted to check on your pipelines kind of point to load growth accelerating here in the second quarter. But you also talked a little bit about higher pricing. Do you think pricing selectivity kind of dim some of that acceleration? Or is the right way to think about it is you're growing faster right now? 
Todd Clossin: It's a great question, because I think as we saw in the first quarter, with the pipeline being so robust, but loan growth kind of being in that we did 1.7% loan growth in the quarter, like, wouldn’t you expect to see bigger loan growth, but we didn't as a result of that. I think, and we've seen the pipeline while it's still good, it's just under a billion, as you kind of look at it at this point, but I would say that it is just my own personal view. I think, as we increase rates, and we increase the expectation on rates, so we've done this a couple of times in the last two months as recently as yesterday, we went out to the lenders and said okay we want x spread on all new loans. Now, I think that'll have an impact on the pipeline. Because I think there are probably deals in the pipeline that probably don't make sense at higher rates or the customer is going to want to pull back or maybe they go somewhere else, I don't know. But I think the pull through rate on the pipeline could be impacted a little bit based upon the raising of rates, because again, we're going to be judicious with our funding and make sure that we get paid, if we're going to put that out the door. And I just don't know the impact that has on the pipeline, because we have all these new lenders and others that are out there generating opportunities. So that's a real plus, that's a real positive. But I just also personally believe that at the higher rates that'll have a bit of an impact on the pipeline, the pull through rate on the pipeline, as projects get put on hold or pulled back.
Manuel Navas: Do you feel more comfortable or is your view that loan growth this year is going to be more first half of the year loaded? Or is that too soon to say?
Todd Clossin: I think it's too soon to say, I really do. Because, again, we built a franchise over the last number of years that has put us in the markets that should grow mid upper single digits. And I think on a long term basis, that's where we're comfortable. And that's kind of what we built, the organization around any given quarter is going to be hard. We talked about the pipeline. But we also talked about the line usage being paid down significantly, is that going to continue to get paid down? Is it going to go lower? I don't know, the some of the secondary market for multifamily things like that has really slowed down a lot. So I'd have more of that sticking on the balance sheet for a little bit longer as developers or web developers are waiting for rates to come down, and we're going to go take all that to the market. So that gives us a benefit of loan growth, because we're not seeing that typical payoff occur. So I think there's a lot of factors that are impacting that, but I don't see anything at this point from our customer base in our markets, that are telling us that people are concerned, overly concerned about the economy, and then pulling back. I still think they are doing business, they're just doing it in a higher rate environment and trying to factor that into their cost structures.
Manuel Navas: Thank you. I appreciate. I appreciate the color. 
Todd Clossin: Sure. 
Operator: This concludes our question- and-answer session. I would like to turn the conference back over to Todd Clossin for any closing remarks.
Todd Clossin: Great. Thank you for joining us today. We remain focused on ensuring our organization sound credit quality, solid liquidity and a strong balance sheet that hopefully you've come to expect from us. We think we've got the right markets teams and leadership and strategies in place to have success on a long term basis. And looking forward to speaking you at an upcoming investor events. So please have a have a good day and enjoy the rest of your week. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.